Operator: Good morning and welcome to the CECO Environmental Third Quarter 2020 Earnings Call. [Operator Instructions] I would now like to turn the conference over to Matt Eckl, Chief Financial Officer of CECO Environmental. Please go ahead. 
Matt Eckl: Thank you for joining us on the CECO Environmental third quarter 2020 conference call. On the call today is; Todd Gleason, Chief Executive Officer; and myself Matt Eckl, Chief Financial Officer. Before we begin, I'd like to note that we have provided a slide presentation to help guide our discussion. The call will be webcast along with our earnings presentation on our website at cecoenviro.com. The presentation materials can be accessed through the Investor Relations section of the website. I'd also like to caution investors regarding forward-looking statements. Any statements made in today's presentation that are not based on historical facts are forward-looking statements. Such statements are based on certain estimates and expectations and are subject to a number of risks and uncertainties. Actual future results may vary materially from those expressed or implied by the forward-looking statements. We encourage you to read the risks described in our SEC filings on Form 10-K for the year ended December 31, 2019. Except to the extent required by applicable securities laws, we undertake no obligation to update or publicly revise any of the forward-looking statements that we make here today whether as a result of new information future events or otherwise. Today's presentation will also include references to certain non-GAAP financial measures. We reconcile the comparable GAAP and non-GAAP numbers in today's press release as well as the supplemental tables in the back of the slide deck. And with that I'll turn the call over to Todd. 
Todd Gleason: Thanks Matt and good morning. We appreciate you joining us today. As we navigate through the COVID pandemic, we continue to focus on the health and safety of our employees, customers and communities. We hope all of you are safe and healthy as well. Let's get into the materials. Please turn to slide 3. It has been a busy and informative time for me since I joined CECO in early July. I've had the opportunity to engage with many of our employees and external constituents. Here are some observations and updates on what I see as someone still relatively new to CECO asking a lot of questions and evaluating the opportunities. We will delve into the financials and markets in more detail in a minute. But like many companies, we have seen a dramatic pause from the COVID related market impact. We are regularly monitoring customer and market information. We would acknowledge that certain markets would still have been challenging this year regardless of the pandemic such as oil and gas refining. But overall, we estimate over 80% of our orders decline is attributable to customers slowing down capital spending and pausing various projects because of COVID. It reminds many of us of the financial crisis in 2008 and 2009 or the sudden impact from events like 911. We remain confident that as markets steadily recover, we are in very good position to rebound too. I've highlighted a few market comments on the slide, but we will touch on these a little later in the materials. I continue to be energized by the tremendous talent at CECO. Our employees are focused and engaged and want to drive success for our customers. At the core of our strength is this 300-plus engineers and application specialists which comprise approximately 40% of our workforce. Our engineering team is the heart and minds of CECO. They have a passion for solving our customers' emissions and water issues and their expertise is at the core of CECO's value internally. In short, they are solution providers. We will continue to leverage this core advantage as we drive growth in new markets and partnerships. The bottom section of the slide, points to some new or heightened areas of focus that we have been driving and introducing since my arrival. There was a solid foundation in place for many of these items. So my job in many cases is to help prioritize and push for results. We must and we will make more progress driving recurring revenue. We are putting new metrics in place to evaluate our recurring revenue streams and working to build new capabilities and incentives to drive results. And like most companies, we continue to advance our operational excellence programs to drive productivity and streamline processes. And finally we have done some good work with adjacent markets, but not enough. We can utilize our leadership position to build new relationships and revenue streams. We will continue to apply new processes and resources to drive new growth. It's time that CECO steps up our game on providing more leadership and detail around environmental, social and governance or ESG programs. I frequently joked with our staff that we are like an honor roll student that hasn't shown up to take the test. ESG starts with disclosure and broadens with leadership action. We have a great story to tell. We just need to start telling it. In essence, we're going to show up for the test. I have assembled a talented cross-functional leadership team to drive our ESG initiative. More to come on this later too. And we have a robust strategy and business transformation program underway. CECO has many opportunities for sustainable growth and market expansion both organically and inorganically. We will have a detailed strategy and execution plan to follow as a result of our recently kicked off work. Let's keep moving. Please turn to slide number 4. On the top section, we provide a summary of our financial results. Orders were approximately $67 million, which was down 40% year-over-year. Customers in oil and gas refining and other energy sectors continue to delay spending. Sales of $77 million was down 9%. Both order and sales reflect the reality of the markets and timing of projects and are not at the levels we strive to deliver. Gross margins were 32% and EBITDA came in around $7 million. Finally, adjusted earnings per share was $0.11 and free cash flow was $6 million. Our trailing 12-month free cash flow was up $2 million compared to the preceding 12-month period. Despite the challenging operating environment, our CECO team continues to execute very well and I want to thank them for their efforts to focus on health and safety, while delivering for our customers. The middle section of the slide highlights key market commentary. We have a diversified portfolio with a view of many industrial markets. Discussions with our customers and channel partners as well as our levels of proposals, bids and general market trends provides many insights. We would suggest that Refining is at or near the worst bottom in its experience in my business lifetime. Our products in this category aren't discretionary. So as these customers begin to ramp up production or even address various maintenance and repair programs, we believe we will see a strong rebound here. We are already starting to see more studies and engineering assessments so perhaps we are on the front end of the steady climb from the bottom. Time will tell. Midstream Oil and Gas has also been largely halted as a result of the energy slowdown. We are starting to see more project bids and believe this market will continue to show pockets of recovery as well. In Industrial Air, we saw very encouraging signs in the quarter. Our orders were up 60% versus the previous quarter and up double-digits versus the third quarter of 2019. No doubt markets will remain choppy and uncertain in the near-term, but we are starting to see good growth in various markets and expect trends to continue to improve. As we position for 2021 and beyond, the focus remains on execution, cost management and of course starting to drive the initiatives I have discussed on the previous slide. Now please turn to slide number 5, which provides detail on orders by market. On the left side of this slide, you can see the market and orders numbers associated with our Energy segment, products and solutions. And on the right side, you will see the Industrial and Fluid Handling figures. I won't read all the numbers by submarket, but instead make some high-level comments. CECO orders in refining market were down 85% year-over-year. Our team has served this market for decades and has rarely to never seen this level of drop-off in the market. We believe this market has bottomed out and are starting to see higher levels of engineering studies and RFQs. Simply put our products are not discretionary in this space and this end market will steadily rise. Midstream and Power Generation also witnessed double-digit declines. Some of the reasons for year-over-year declines are the result of delays in capital spending, but some are also related to the very difficult comparable to third quarter 2019, which saw extremely high project bookings. And in our Industrial Solutions and Fluid Handling segments, we saw some mixed results year-over-year, but very good sequential growth. We believe those markets continue to improve. Let's turn to slide 6 to look at additional market commentary. This is a new slide for our earnings report. Let me hit some highlights. On the left side, we have listed our long-cycle business exposure. These are energy markets that typically go into backlog and turn to revenue over a nine to 18-month timeframe. And on the right-side, our shorter-cycle markets, that are at least 50% faster to convert from order to full revenue. Starting with some highlights on the long-cycle markets. Refinery, we believe as we've said, is at the bottom. We are well positioned for recovery as our FCC cyclones are mission critical. This market has deferred maintenance given the slowdown in demand and capital constraints and will rebound. Midstream Oil and Gas has had a surplus of supply for some time. And as we expected, this market was going to be slower heading into 2020. CECO continues to do a nice job offsetting the slower Midstream market by expanding new products and new market penetration in water separation and also U.S. naval contracts. Power generation in natural gas has stabilized and electricity demand continues to rise. We believe the COVID pandemic delayed this market recovery, given the market had been in decline for several years. We are well positioned with leading solutions in noise attenuation and NOx emissions. On the shorter-cycle side, our Industrial Solutions comprise leading air quality solutions to combat pollution to ensure equipment runs efficiently while protecting the environment. We continue to see improvement in sequential orders. In fluid handling or pumps and filters, there continues to be a mixture of recovery and delay. We have focused on improving quality and delivery, and will start to increase our investment in growth as we believe our solutions will be in demand. Finally in Power Gen Solid Fuel, we have a large installed base that we will continue to serve with replacement systems. This market is the only one in secular decline, but our Effox major JV is well positioned to serve the large market and is a small percent of our revenue. Thanks for your time letting me go through this material. I will now hand it over to Matt, who will give more detail on our financial results.
Matt Eckl: Thanks, Todd. I'll start with slide 8 and orders. At $67 million of orders, we are disappointed at the levels but understand the market situation we are facing is choppy. There were several bright spots as industrial markets started gaining momentum in September. Activity in semiconductor, wood manufacturing, automotive, all provided a 40% sequential lift for industrials. And our Fluid Handling business, primarily driven by pumps was on par with its peers growing 8% sequentially. Energy on the other hand was relatively flat sequentially and averaging just $40 million in orders per quarter. Refinery markets, has been hit the hardest with just over $10 million of bookings in the last six months. To put that in perspective, year-to-date orders are down $32 million or 63% year-over-year. Our Emtrol-Buell branded FCC cyclones serve this market. And as both the large integrated and independents continue to preserve CapEx, this business has been struggling. What is certain is that our customers are deferring maintenance CapEx that they will have to circle back to resolve in the near future. We've weathered this cycle in 2017 and our conviction of a market snapback is high. To the right, revenue was up 3% sequentially and did not progress as we had anticipated. Customers continue to delay engineering and site commissioning work as they battle a resurgence of COVID cases. As a reminder, total 80% of our revenue is recognized on a percentage of completion basis. As customers and suppliers slow down, so does the execution of our backlog progress. Especially in Europe, the Middle East and India have stalled, weighing on the progression of our large oily water separation project. The end user and EPC are resolving scheduling differences, keeping this project from moving faster. Similar situations are occurring domestically where our industrial services business is at less than 50% of its pre-COVID levels due to restrictions on customer site access. Moving to slide 9, our backlog is at $189 million, which is down 8% sequentially and 20% year-over-year. Unfortunately, in the quarter, we did de-book two U.S. projects. One of these orders was put on hold beyond 12 months and another has been canceled. Both projects were related to manufacturers that support the aerospace industry, which is extremely hard hit from the COVID pandemic. We remain in great relations with these customers and expect to be re awarded when this market returns. Neither project has progressed thus there were no revenue or costs associated with these cancellations. As the operating team here navigates this push-pull period of COVID, I'm very much pleased with our execution. Despite the ever-changing customer schedules and scope, we are maintaining our margins and cash flows through purposeful execution. Moving on to slide 10 and our key profitability measures. Our gross margins were at 32% in the quarter, which is down two points sequentially and year-over-year primarily due to project mix. As suggested last quarter, a few higher-margin projects have come to completion and are replaced with larger jobs with margins below our CECO average putting pressure on our margin rates. One of those jobs, being the large double-digit Middle Eastern project, previously mentioned. As you can expect in the areas, we can control, we are pruning costs in our plants and driving productivity to offset the project mix. Hitting on non-GAAP operating income and adjusted EBITDA, both measures were down sequentially and year-over-year driven by volume and margin. I'm pleased with the proactiveness, with which we've taken out costs, in response to this downturn. As of the end of Q3, we've executed on all of the, $10 million annualized cost savings target, communicated in Q2. To put this in perspective, since the beginning of the year, we execute on a furlough, cut wages, shuttered three facilities, exited a lost business and eliminated 20% of our global workforce. As an asset-light company, that prides itself on being people deep, we don't take these actions lightly. These have been aggressive cuts. And it's been a tough year. However, our focus has to be on cash preservation, while maintaining our market share, through the next 12 months. As a final point, our actions over the last three years to simplify CECO, by reducing ERPs and legal entities, consolidating business units, and investing in technology and process has made us nimbler and enabled us, to make these cost cuts faster. Had we not made the investment in prior years, we would be in a much different position. We continue our simplification journey, and just this past quarter, we've closed two more entities and another ERP, further reducing our SG&A footprint. A special thanks to our IT leadership team and the Aarding management team for, overcoming an ERP implementation, during the middle of a pandemic. As we start our 2021, ERPs planning process, we have already built contingency plans to right size the company further, if markets don't recover. And the automation activities, we've invested in today will serve us well tomorrow. To say the least, this team is prepared. Now on to slide 11 which summarizes several of the metrics already discussed. Instead of reading the page, I'll briefly point out three highlights. First with revenue down 9% and EBITDA down 13%, our decremental EBITDA margins were strong at 14% year-over-year. Despite lower volume and gross margin, our SG&A cost reductions preserved EBITDA at 9.4%. Non GAAP SG&A was $18 million in the quarter and down $3 million from Q1 of 2020, when we began our cost cutting efforts. We are laser-focused on costs, during this COVID period, with already greater than $10 million of annualized savings achieved. Second, GAAP earnings per share was a loss of $0.01 and down $0.06 year-over-year, on approximately $3 million of expenses associated with M&A integration, executive transition, and severance-related expenses. On a non-GAAP basis, EPS was a positive $0.11 and down $0.01 year-over-year, on volume and project mix offset by SG&A and interest expense. Final point, regarding tax, we still anticipate a 25% non-GAAP tax rate for total year 2020. Pushing on to slide 12, working capital was down sequentially to $41 million, on a very positive quarter for AR collections. Our Project WIP has grown but primarily on our large Middle Eastern projects, that has back-end loaded milestones. We are executing this project well. And look forward to its progression in the coming quarters. Due to the strong AR activity, free cash flow bounced back in Q3 generating $6 million in the quarter. On a TTM basis, free cash flow was $15.1 million, which is up $2.9 million from the previous trailing 12 months. Cash flows are paramount to the CECO business model. I'm pleased to see our TTM. as a percentage of EBITDA, at 46% with aspiration to exceed 65%. Concluding on slide 13, our balance sheet is healthy and we are prepared to weather this pandemic. We paid down $2 million of debt in the quarter. And our bank defined leverage ratio is a comfortable 1.8 times. And our net leverage remains sub 1 with ample capacity. Keeping it crisp and to the point, I'll turn it back to Todd.
Todd Gleason: Thanks Matt. Please turn to slide number 15. The markets may be challenging. And of course we look forward to sustainable orders growth, to replenish our backlog. But we want to stress, that we are in good position to weather the downturn and really capitalize on the recovery. Let's put some CECO perspective to this statement. In 2017, when the power gen markets went down sharply and the refinery sector slowed, CECO was structurally more challenged. The organization had yet to integrate the infrastructure, associated with previous acquisitions. And debt level ratios were above three times. We navigated the downturn through various actions and divestitures then set our sights on reducing complexity, and integrating the organization. The downturn, driven by the COVID pandemic, has produced similar rapid declines in orders. This time however, our playbook is more proactive. We have taken decisive action to reduce structural costs by over $10 million. We have far less redundancy and complexity, so we can focus on actions to drive faster returns. Our balance sheet is in very good shape, so we can and have used it for appropriately sized acquisitions, such as EIS in the first half of this year. And we have the ability to focus on growth initiatives to best put ourselves in position for market recoveries. While the orders and backlog have been impacted by the market downturn, our organization is healthy and we will leverage our streamlined structure and growth focus, as markets recover. Please turn to slide 16, which reinforces this view. As we emerge from this downturn and continue to drive our growth and productivity initiatives, we remain committed to the financial targets listed on the top of the slide. These are the same targets we have highlighted in previous earnings presentations, 5% topline growth, which we believe we can sustain in normalized markets. Obviously, in some recovery scenarios, our growth should be more robust. We expect to achieve EBITDA margins greater than 13%. This is a 300-plus margin expansion from today's level. We will need the volume conversion associated with our streamlined cost structure and continued productivity actions. Finally, we have historically been a solid free cash flow producing company and intend to maintain that pedigree. With those achievable longer-term financial goals, we are increasing focus on things we can control right now to drive results. We continue to focus on cost and productivity actions, but we are increasing our growth programs. Our goal is to expand into new adjacent markets, like what we have done to grow over 100% in military naval orders. And, we look forward to increasing recurring revenue. As I mentioned earlier, we will be articulating our ESG-related highlights, metrics and commitments. We look forward to a phased rollout in sharing our ESG story publicly. Please turn to slide 17, and thank you again for following along in this material. We are anxious to get to your questions. But once again, we would like to thank, team CECO. We will continue to focus on health and safety and we will continue to deliver results for our customers. In the quarter, we had solid execution. We are in better position with the portfolio moves we discussed. Several of our end markets remain very depressed, but we see trends heading in the right direction in most of our markets. And even in Refining and Midstream Oil and Gas, we are seeing increased activity. Over the coming quarters, we will highlight our progress with respect to strategic initiatives and ESG rollout. Our team continues to work hard to deliver solid results for here and now, but also position CECO for a very bright future. With that, we would like to open the line for your questions. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Jim Ricchiuti of Needham & Company. Please go ahead.
Jim Ricchiuti: Hi, good morning. Question -- a couple of questions. What -- you seem to be suggesting that you think there's going to be a recovery in some of the maintenance-related refinery business. And obviously, you guys have been doing this for a long time. So, what's your best guess as to when some of these customers really get to that point of having no choice and you're going to start seeing that? Is it Q4, or is it early next year?
Todd Gleason: Yes. Good question, Jim and good to talk to you and the rest of the group. This is Todd. So, a couple of thoughts. Number one; good in that we're already as we mentioned in the prepared remarks, we're starting to see more studies and the early sort of engineering work associated with that market, realizing the need for our product, which oftentimes goes into that sort of repair, maintenance, replacement cycle. So, as far as the exact timing goes, we're more likely looking at 2021 in terms of orders. But again, we're starting to see an uptick in that sort of early study demand and activity. So we feel good about the recovery coming. Timing is elusive obviously for a variety of end market reasons that we all understand today. But that's sort of what we see in front of us right now.
Jim Ricchiuti: And just with respect to some of the de-bookings cancellations and the -- related to aerospace, wondering how much of that was -- was there any revenue associated with that business in Q4? How should we think about when you were planning to see some of that revenue or was it more in the first half of 2021?
Todd Gleason: Yes. Again this is Todd, I'll take that and then I'll hand it over to Matt. See if he wants to expand on it. No revenue was certainly in the current period associated with those. Those were all -- or at least a vast majority of the bookings the backlog was associated with revenue next year.
Matt Eckl: Yes, very little was planned in our forecast there, Jim for Q4. Most of that was supposed to kick off in 2021. Only the engineering portion of that was planned for Q4. It's a very small percentage.
Jim Ricchiuti: Okay. And if I could just slip one more question. And look seasonally Q4, you see some sequential improvement, but this is really -- we are in a different world right now. And I'm just wondering is there any way to think of that Q4? I mean obviously your bookings were really soft and is there any color you could provide as to how we might think of that Q4?
Matt Eckl: Yes, we typically don't have a seasonality factor to the company when you look at any of our businesses. Albeit, if you go track the last four years you see Q4 is usually our lightest quarter on orders from a bookings perspective. And that's the majority of the reason why is because 80% of our business is really CapEx decisions by the customers and some of them like to be judicious in the quarter and hold on to that CapEx. But with what's going on with COVID elections last night, we're hopeful that things are breaking free, industrials we're seeing some sequential growth. So, we're feeling positive that Q4 is absolutely going to be better than Q3 and Q2. So, it's a question mark on energy and we're positive about Q4.
Todd Gleason: I'll note too Jim. Just -- I wasn't here last year, but I've heard a lot about it. And the third quarter was a great quarter. Things timing oftentimes is certainly out of our control and sometimes even our direct customers' control it could be who they're supplying and the project demand of the ultimate end customer. Anyway regardless, third quarter last year was higher than maybe even we expected heading into the period. Things came into the third quarter last year that would have likely been more of a second half of 2019 balance. So, Q4 was somewhat brought into Q3 a little early, which is one of the notes that I mentioned around the tough comparable year-over-year. I think even in a normalized environment non COVID environment, we would have just had a tough comparable versus the third quarter of last year. And which again tees up the fourth quarter last year it looks low, but I would almost want to move a little bit between the two quarters to make fourth quarter last year look a little more normalized if you want to -- if you were ignoring the quarterly spread there. So, anyway regardless, we feel that Q4 is going to be sequentially higher. 
Jim Ricchiuti: Got it. Thanks a lot. Thanks for the color.
Operator: The next question comes from Amit Dayal of H.C. Wainwright. Please go ahead.
Amit Dayal: Thank you. Good morning Todd and Matt.
Todd Gleason: I hope all is well.
Matt Eckl: Good morning Amit.
Amit Dayal: Yes, thank you. Very good morning. In terms of your emphasis on the recurring revenue opportunity expansion, are you thinking of taking steps to lower exposure to the NS vertical maybe as it stands for you today? And if yes, what are the sort of easiest opportunities for you to leverage your current infrastructure resources to maybe make an entry into it.
Todd Gleason: Yes, I think -- I don't know that I'd say that we're looking to lower our exposure to the energy sector. I think just to kind of pound the table a little bit on our focus on recurring revenue and some of its blocking and tackling work. It is having more insights from a data and metrics perspective on where we have defining what recurring revenue really is within our organization. I guess simply applying more management metrics and focus on it as we -- especially as we head into next year in our planning cycle where do we see pockets of opportunity around recurring. And so -- but it's not necessarily moving focus away from where we're typically strong and well-positioned in project business. I just believe and I think I'm not alone with -- that we leave some opportunity on the table to go back after customers with where we have a very large installed base and ensure that if there's an opportunity for us to do replacement parts replacement filters replacement systems and solutions that we're in there -- we're in front of those customers earlier and more often in their service cycle than we have been historically.
Amit Dayal: Understood. And as now we're almost going into three or four quarters of sort of weaker softer performance from a market environment perspective, is customer behavior slowly sort of adapting to this new environment, where things kind of stay where they are and they manage with fewer or lower CapEx, et cetera, or like you said, maybe there is a bounce coming on this run?
Todd Gleason: Yes. I mean, I think as we look out over the next three, four quarters, we can say with a high degree of confidence. Again, we're already seeing industrial markets at or above last year's levels. So -- and we're still in the middle of COVID and there's still a lot of concerns around demand and investment capital deployment, et cetera. So in a good section of our organization, much like many other industrial companies, we're already back at a very good level and we believe that's going to continue sequentially. There's always challenges and some timing issues. But we feel good about the industrial sector. Energy, again, like we said in the areas that have been impacted the hardest, the hardest hit, refining probably being the one that we would say is certainly at the deepest bottom that we've seen. Now, it becomes a story of repair, maintenance, things that they -- that are -- we believe the industry has prudently probably been very conservative from a capital perspective, as everybody is conserving cash and trying to right size for the demands in the marketplace. But there's little to no scenario right now, as our pipeline would even demonstrate, that we're going to see a year in 2021 similar to the year that we've seen so far and we expect to see in the fourth quarter in refining for just for one large sector of the energy space. We believe that starts to come back and where we participate and the solutions we provide, just based off of -- just based of the demand that's going to have to occur in the repair and replacement side.
Amit Dayal: Understood. Thank you for that. And maybe one question for Matt. Matt, you indicated maybe there are potential further cost cuts possible if the weakness persists, what level of cost cuts? What areas would you be focusing on with respect to that, if it materializes?
Matt Eckl: Yes. We'll be focused on our SG&A predominantly. The majority of our cost of goods sold is tied to our production network, which is all third-party for the most part. And so, there's not a lot of cost to go at. It's internal to CECO in that COGS line. It's not tied to backlog and back-to-back contracts with our suppliers and our customers. So SG&A would be that focus there. Look, since last time we spoke, we met our obligation of greater than $10 million of annualized savings. That's been executed. I suspect based on the proactive nature of what we've done, we'll exceed that number with some actions taken here in the fourth quarter. And we're continuing the contingency plan. So if the markets don't rebound and we are heading to 2021, or as I said in our prepared remarks, it's about preserving cash and cost and shareholder value through this COVID period. So we are counting up more options and opportunities, but be sure of this, we're going to ensure that when this market returns, we're positioned well to take share and win in the downturn, just like we did after coming out of 2017 and saw a resurgence in 2018 and 2019. So I'm not ready to prepare a new target for us just yet, but we're above the $10 million and we have more plans.
Todd Gleason: Yes. And I think I'll just add to that. It's a challenging time right now for a lot of organizations and we're weathering it. And our employees understand and are pushing really to perform for the customers, be great team players with each other and everyone understands that this is a buckle down period for CECO and a lot of companies like us. So we appreciate their commitment and hard work, just like I think they understand that we're trying to put the organization in place and we have and we will continue to, for what we know will be volume recovery at a structurally streamlined organization that produces above historical -- well above historic average margin conversion. So our goal is, we look at costs, of course, is to do certain things that are short-term in nature when appropriate, but most importantly is to put ourselves in structural position internally for a sustained model, where we have to add back fewer costs to realize the volume as it comes back up. So that's what we keep rolling up our sleeves and working on are smarter better ways for us to have reduced redundancy, better systems and processes and structure; so that when we come out of this and we will that we're producing very above-average margin returns.
Amit Dayal: Understood. That’s all I have guys. Thank you so much for taking the questions. Appreciate it.
Todd Gleason: Thank you. Great questions.
Operator: The next question comes from Tate Sullivan of Maxim Group. Please go ahead.
Tate Sullivan: Hi. Thank you. Good morning and thanks for your comments. Can you just review your aerospace and defense exposure across your product portfolio? And I mean specifically, Navy is that all water separation work looking at slide 6, or can you just give anymore? And then where is your aerospace exposure as well within your segments, please? 
Todd Gleason: Good morning. Good to talk to you. This is Todd and then I'll hand it over to Matt. Aerospace exposure isn't necessarily direct aerospace exposure. And again, the wording on the slide is trying to point to that. It is we have customers in let's say, metals, aluminum, manufacturing and distribution that would supply that industry. We just happened to know that that's too – the reason the projects were either canceled. And in our definition of cancel they may have said, look, we want to reengage in 12 months, keep the engineering files, keep the engineering work. But in any time that there's a certain time delay like that we'll just de-book it. But that's what we mean by aerospace customers. We're not selling directly to Boeing, for example, we're selling through to an organization that may supply that industry just to be clear. On the naval side, we have a variety of products that serve the air intake and air quality control solutions for naval vessels in particular and other Department of Defense applications but mostly naval vessels. I'll let Matt sort of provide a size for it. But it's growing. It's up well over 150% year-over-year. We believe that there's a nice opportunity for even more global geographic expansion beyond and we are bidding and working on beyond U.S. naval because of some of the interesting solutions we have with some of our composite materials, rustproof, et cetera, that provides our longer-term maintenance solutions on naval vessels. But I believe that the business is – it's certainly about $15 million to $10 million or so in size at the moment.
Matt Eckl: Yes. I'd only add the exposures used that word was tied to the aerospace customers we mentioned is in our industrial segment. Those are CapEx projects that were booked probably in Q1 or Q4 of last year. That one of them as I mentioned in the prepared remarks, the customer didn't actually cancel it. They just said "We need to delay this until things get better." And for transparency purposes and the way we operate, we said, it's better to de-book that. The other one absolutely was canceled. But I suspect when re-awarded we'll win it. I feel confident about that but it's the right thing to do. But no exposure to the P&L there, none of the work had progressed on either of those. And we did a combing and I don't see anything else that's specifically tied to aerospace that's of material value in our backlog Tate. And as far as the military I think Todd mentioned, it's about $10 million to $15 million, it actually rolls into – on the pie chart there, the upper left corner Midstream. It's our Peerless brand. We just leave in Midstream because it's small. We could break it out but it hasn't been big enough to split out just yet, but it is a growing opportunity for us in that area that we're trying to take our technology and apply it elsewhere as oil and gas has been shrinking of late. So good win for that team here in the Dallas office, as of recent months.
Tate Sullivan: Okay. Thank you both for that context.
Todd Gleason: Thanks, Tate.
Operator: [Operator Instructions] The next question comes from [indiscernible] of Triton Capital. Please go ahead.
Unidentified Analyst: Great. Thank you. Relative to the refining business, what do you see as the key metrics to watch for that industry to start to move forward on projects? Is it crack spreads? Is it utilization? And I recognize those two often go together, or is there something else that's a leading indicator?
Todd Gleason: Yes. I would add both of those in that order and I would also add turnarounds. Those oftentimes view, like Valero puts out, Marathon's refinery business will talk about turnaround season and maintenance CapEx specific to that. If you see that going up that helps as well. As you nailed it we're at – we're I want to say close to 10 points below the five-year average of refinery crack spreads. By the way Bill just another note, we sell globally. So don't just look at the refineries here in the U.S.; India, China, you name it, if there's a refinery and they have an FCC Cyclone, they're using our product.
Unidentified Analyst: Okay. Thank you. I'm going to ask additional question here then. Do some refineries not use fluid – FCC, I assume stands for fluid cracking catalyst the cyclones; do some not use that approach?
Todd Gleason: There are other means, but a very small percentage. It depends on the heat and what you're cracking. But for the most part, it is a very high percentage. I couldn't give you the exact percentage, but for the most part you need it because catalyst is a way to actually crack, which separates the crude into the byproducts, for which you are trying to separate and then push downstream to wherever you want those to go.
Unidentified Analyst: And then what about regulatory requirements? And I'm asking the question in the spirit that we have historically thought of turnarounds as being really required unless you want to blow your plant up. And you've mentioned on the call here today that these are largely required. But is there a regulatory put to just general safety and running your plant smart, is there a regulatory requirement that some of these facilities are beginning to bump up against, or is that not part of the equation?
Todd Gleason: I think if you're just talking about refining and FCC Cyclones in general, there are some regulatory associated with it -- regulatory compliance associated with it. But for the most part you're talking about equipment efficiency; you're talking about the process associated with the refining component that the cyclone participates in. So it's more a process requirement than it is regulatory requirement on the refining side. Now in other areas, obviously, as you know Bill across a variety of our other markets both in energy and industrial et cetera. Now regulatory compliance and demand start to step up notably and especially in various parts of the U.S. and various parts of the world they can vary. But if you're looking at other parts and products of the market then you are -- then regulatory becomes a bigger component of why we're there.
Unidentified Analyst: Okay. So just to make sure I'm clear. The real key here with refineries and turning around the FCC is that the efficiency decreases. And ultimately it's an economic decision to do the turnaround and upgrade to cyclone. Is that correct?
Todd Gleason: Couldn’t have said it better ourselves.
Unidentified Analyst: Great. Thank you both for the time.
Todd Gleason: Thank you, Bill.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Todd Gleason for any closing remarks.
Todd Gleason: Thank you. And thanks everybody for the time and the questions. We look forward to following up with others throughout the day and in the next period of time. We hope everybody stays healthy, continues to stay healthy. I want to again thank our very many CECO employees that are out working hard for our customers and our constituents and their communities every day; keep up the great work. And obviously it's an interesting time in the U.S. election cycle. So I think we're all interested in that becoming a more normalized environment. So we look forward to being in touch with everybody and we'll continue to drive for both our customers, our employees, and our shareholders. Thanks and have a great day. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.